Operator: Good day, ladies and gentlemen, and welcome to the General Electric third-quarter 2018 earnings conference call. At this time all participants in a listen-only mode. My name is Brandon and I will be your operator for today. As a reminder, this conference is being recorded. I would now like to turn the program over your host for today's conference Todd Ernst, Vice President of Investor Communications please go ahead
Todd Ernst - General Electric Co.: Thank you, Brandon. Good morning, everyone. Welcome to GE's third quarter earnings webcast. I'm joined this morning by our Chairman and CEO Larry Culp, and CFO Jamie Miller. Before we start, I'd like to remind you that the press release, presentation, supplemental and 10-Q have been available since earlier today on our Investor website at www.ge.com. Please note that some of the statements we are making today are forward-looking statements and are based on our best view of the world and our businesses as we see them today. As described in our SEC filing and on our website, those elements can change as the world changes. And now, I'll turn the call over to Larry. Larry.
H. Lawrence Culp, Jr. - General Electric Co.: Todd, thanks. Good morning, everyone, and thank you for joining us. We have a lot to share with you, so let's get to it. During the third quarter, we saw positive results in most segments with outstanding performance in our Aviation (01:36-02:19) Now, I know there's been renewed speculation on our future strategic direction. The strategy we announced on June 26 to create a more focused portfolio that sets up our businesses to win and strengthening our balance sheet is today the right plan going forward. Consistent with this strategy, we are announcing two actions this morning. First, GE plans to reduce its quarterly dividend from $0.12 to $0.01 per share beginning with the board's next dividend declaration, which is expected to occur in December 2018. This change will allow GE to retain about $3.9 billion of cash per year compared to the prior payout level. Going forward, we will target a dividend payout ratio in line with peers over time. Second, we will take a materially different approach to running our Power business. The past 30 days, I've spent a lot of time with Russell Stokes and his team. It has become clear to us that we need to simplify the business structure. Therefore, today, we are announcing our intent to reorganize Power into two units, both of which will report directly to me. The first is a unified Gas lifecycle business combining our product and services group gas power systems and power services with the second constituting the portfolio of Steam, Grid, Nuclear, and Power Conversion. Additionally, we intend to consolidate the Power headquarters, Gas Power systems and Power Services teams into the new Gas lifecycle business, effectively eliminating the Power headquarters structure. We have much more to do to improve our performance in Power and we intend to move quickly to enhance our execution agility and improve our cost structure. These actions are a start in bolstering GE for the road ahead. In the last month, I have visited many of our primary business locations. Getting to know this company better from the inside has only strengthened my conviction that GE has considerable strengths. The talent here is real. The technology is special. And the global reach of the GE brand and our relationships are truly impressive. But GE needs to change. Our team knows this. In my old job, we acquired dozens of good but often underperforming businesses. And we always came prepared to convince the acquired teams that they and we needed to drive change. That is not the case here. Our GE team needs no convincing. They really want direction to know how to change. And while I don't have all the answers after one month, I do have a few early impressions. We could use a lot more out and a good bit less up around here, meaning we need to focus more on customers and competition and, frankly, less on corporate. We're going to strike a better balance between managing and reporting so that we ensure we're properly focused on the daily operating rhythms, which drive our actual financial results well ahead of our reporting cycles. Strong daily management makes reporting a lot easier. First things first And we need to accelerate our progress on cash generation. Changes to our compensation system and internal reporting this year were a good start, but we need to operationalize real improvements on cash through business processes in every business, every day. And with that, let me turn it to Jamie for a more detailed discussion of the quarter.
Jamie S. Miller - General Electric Co.: Thanks, Larry. I'll start with our consolidated quarterly performance. Orders were strong at $31.4 billion, up 7% reported and 13% organically. This was driven by equipment orders, which were up 22% organically and services up 5%. Revenues were down 4%, with Industrial revenues down 5%. Organically, Industrial revenues increased 1% driven by Renewables, Aviation, Healthcare, and Oil & Gas. Industrial profit, which includes Corporate, was down 23% reported and 17% organically, driven by declines in Power and Renewables, partially offset by solid growth in Oil & Gas, Aviation and Transportation. Industrial profit margins were 8.1% in the quarter, down 180 basis points year-over-year on a reported and organic basis, driven by declines in Power and Renewables. Year-to-date, margins were down 50 basis points organically. Net earnings per share was negative $2.62 which includes income from discontinued operations related to GE Capital. Adjusted earnings per share was $0.14 and I'll walk the GAAP continuing EPS to adjusted EPS on the right-hand side of the page. Starting from GAAP continuing EPS of negative $2.63, we had $0.01 of gains, principally from the sale of Value-Based Care, partially offset by held-for-sale marks in Lighting, Aviation and Power. We also booked multiple impairments this quarter related to Power. The first was goodwill. As disclosed previously, we had a thin margin between fair value and carrying value for both Power Generation and Grid. And in the third quarter, both businesses failed their goodwill impairment test, which required us to fair value the assets of the businesses with any remaining value being allocated to goodwill. The size of the charge results from the significant value associated with the unrecognized legacy assets, principally our profitable services backlog, long-standing customer relationships and our gas turbine technology. And the value of these assets essentially squeezed out any remaining room for goodwill. Based on our best estimate, we booked a charge of $22 billion, $19 billion related to our Power Gen reporting unit and $3 billion related to Grid. Most of the $22 billion charge is related to the Alstom acquisition, which occurred in the fourth quarter of 2015. We will true this up in the fourth quarter as it gets finalized. Also, the SEC expanded the scope of its ongoing investigation to include the goodwill charge. The Department of Justice is also investigating this charge. And the other areas that we have previously reported are part of the SEC's investigation. We are cooperating with the SEC and DOJ as they continue their work on these matters. On restructuring and other items, we had $0.05 of charges related to intangibles and long-lived assets in Power Conversion where we continue to restructure the business in the face of market challenges. We also incurred $0.06 of restructuring, principally in Corporate and Power, $0.02 of charges related to BD transactions and $0.01for our share of Baker Hughes GE's restructuring. Lastly, the remaining $0.01 related to an unrealized mark associated with our equity investment in Pivotal. Excluding these items, adjusted EPS was $0.14 in the quarter. Moving to cash, adjusted Industrial free cash flow was $1.1 billion for the quarter and negative $300 million year to date. Income depreciation and amortization totaled $1 billion after adjusting for the $22 billion non-cash goodwill impairment. Working capital was negative $100 million for the quarter as we had a small build in inventory ahead of fourth quarter shipments offset by increased payables volume. Contract assets were a use of cash of $100 million, and we spent $900 million in gross CapEx or $600 million ex Baker Hughes GE. On the right-hand side of the page, you can see the walk of the GE cash balance. We ended third quarter with $9.1 billion of cash in bank excluding Baker Hughes GE. And a few highlights: we generated cash proceeds of $3.2 billion related to businesses' positions, principally Industrial Solutions and Value Based Care. We assumed $6 billion of debt from GE Capital to fund the principal plan. And $2.4 billion of other cash includes investing activity in our Aviation business from the first half of the year, derivative settlements and FX on our cash, and a few other items. While our businesses are generating cash flow along with expectations, it's clear that with respect to Power the issues will persist longer and with deeper impact than we had initially expected which will cause us to significantly miss our full year cash flow and earnings targets. Next I'll discuss financial policy which reflects our strategic commitment to strength and delever the balance sheet. A solid rating is important to us, and we will target a sustainable credit rating in the single A range. S&P downgraded GE and GE Capital's credit rating from single A to BBB+ with a stable outlook on October 2, and Moody's and Fitch have our ratings on review. The impact of the downgrade is manageable, and we were prepared for this. The most pronounced impact is on our commercial paper program. As you know, we have $40 billion of committed credit lines in place. We have tapped a portion of these revolvers and are currently transitioning our commercial paper program to a smaller size, and this is in line with our long term objective of reducing our reliance on commercial paper. We have sufficient liquidity to execute this transition smoothly. We continue to target a leverage ratio of 2.5 times net debt to EBITDA and expect to make substantial progress toward this goal in the next few years. As described in June, we have significant sources available to delever and de-risk the company. The action we announced today on the dividend is an example of strengthening our position. We also continue to complete the remaining actions and transactions that are part of the $20 billion disposition program with an expected close of Distributed Power in the fourth quarter and Transportation by early 2019. Now, I will turn to take you through the third quarter operating results by segment. Starting with Power, which has faced significant external and internal challenges, the market size continues to be in line with our previous expectations. But as we move into the second half it's clear that our previous forecasts were overly optimistic on the timing and level of deal closures on heavy-duty gas turbines and particularly on aeros. And while we are seeing some progress, we're not seeing the pace of operational improvement we expected. And we continue to see issues driven by our own execution and some on project execution with customers and partners. Additionally, as Larry mentioned earlier, we're announcing our intent to reorganize the Power business into two units and are effectively eliminating the Power headquarters structure with an intent to enhance Power's execution agility, improve their cost structure and drive better outcomes. Now with respect to the third quarter results for Power, orders were down 18% reported and down 3% organically. While Gas Power Systems orders were down 45% year to date, they were up 55% in the quarter based on easy comparison. We booked orders for 21 heavy-duty gas turbines, including five HAs. Aero orders for two units were down seven versus last year. Power Services orders were down 16% driven by tough comparison and a more disciplined deal selection process on the transactional fleet which is resulting in higher margins. CSA orders were flat. Revenue was down 33% reported and down 20% organically. GPS revenue was down 55% on lower volume. Power Services revenue was down 4% with CSA's up 2% and transactional services down 12%. While we're making progress commercially on the transactional fleet, the conversion time between orders and revenue has been longer than expected and CSA utilization was in line with expectations. In the quarter, the business incurred an operating loss of $631 million, profitability was negatively impacted by charges in GPS related to challenges in project execution and liquidated damages. We also recorded $240 million of warranty and maintenance reserves related to the HA 9FB stage 1 blade issue. We have a replacement blade in production and we're working proactively with our customers to schedule outages to replace the parts over time, but we also expect to incur a similar incremental amount of cost over time related to the blades as we perform planned outages in our services contracts. Next on Aviation, which had another great quarter, orders were up 35%, equipment orders grew by 82% driven by continued strong momentum of the LEAP engine program, services orders grew 12%, revenues in the quarter grew 12%, equipment revenues were up 17% on commercial engines partially offset by lower military volume. Specifically, we shipped 303 LEAP engines this quarter, up 192 units compared to last year. Services revenues grew 9% on higher shop visits and a spares rate of 28 million per day, up 20%. We continue to experience favorability and services with strength in air traffic driving high fleet utilization and spare parts consumption. Segment profit was up 25% on higher volume, improved price and operating productivity. This was partially offset by negative mix from higher LEAP shipments. Operating profit margins expanded 240 basis points in the quarter. Year to date, we've shipped 739 engines and we're roughly four weeks behind on production as a result of the delays in material, but we remain committed to delivering 1,100 to 1,200 units. Aviation performance remains on track to deliver 15-plus percent op profit growth for the year. Next on Healthcare, Healthcare orders were flat versus last year and up 3% organically. On a product-line basis, Life Sciences orders were up 6% organically with BioProcess up 9%, Healthcare Systems orders were up 2% organically. Geographically, organic orders were up 4% in Europe, driven by successful new product launches across Healthcare System. The U.S. was down 3% due to the non-repeat of a large Healthcare Systems government order. Emerging market organic orders were up 9% with China up 13%. And in China, we saw good performance in BioProcess, imaging and ultrasound. Healthcare revenues of $4.7 billion grew 3% on an organic basis with Healthcare Systems up 3% and Life Sciences up 5%. Segment profit was up 2% on a reported basis and 10% organically, driven by volume and cost productivity partially offset by lower price. Margins expanded by 120 basis points organically. Consistent with our strategy to focus and win, the Healthcare team continues to prepare for separation. On Renewables, orders were down 3% versus last year, driven by lower hydro orders. Onshore wind orders totaled $2.7 billion with U.S. equipment volume up 2.7 times and U.S. repower volume up 72%. International volume was down 66% on tough comps versus last year. Backlog at the end of the quarter totaled $16 billion and was up 17% from strength in onshore wind. Revenues were up 15% reported and 19% organically, mainly driven by onshore wind equipment, which was up 37%. This was partially offset by onshore wind repower volume, which was down 55%, primarily driven by timing, including delays for inclement weather and customer site readiness, as well as a number of new unit delivery delays driven by supply chain issues. The repower market remains robust and we're seeing continued strong demand through 2019 and beyond. Segment profit was down 72% and margins were down 660 basis points, driven by significant pricing pressure and lower repower volume. We expect sequential improvement in our segment profit driven by higher wind turbine and repowering volume and continued product cost improvement. We will continue to monitor the supply chain and logistical issues as we ramp in fourth quarter for the higher volume. Moving to Oil & Gas, Baker Hughes GE released its financial results this morning at 6:45, and Lorenzo and Brian will hold their earnings call with investors today at 9:00 AM. Next, we provide the summary financial results for Transportation and Lighting, shown here, and additional information is available in the 10-Q. Finally, on GE Capital, continuing operations generated net income of $19 million in the quarter, down $5 million from the prior year. Total year earnings will be affected by the timing of asset sales and related gains and losses. Additionally, the business may be impacted by updates to U.S. tax reform legislation and our assessment of the insurance reserves in the runoff insurance business which we perform annually in the fourth quarter. GE Capital ended the quarter with $129 billion of assets, down $11 billion year to date, ex liquidity, and we remain focused on shrinking and deleveraging GE Capital, including improving its leverage profile. We expect to reduce GE Capital's commercial paper balance to zero in the fourth quarter of 2018 as we transition the overall company to a smaller CP program. And as it relates to capital contributions, we're monitoring tax reform, WMC and the fourth-quarter insurance reserves evaluation and we continue to evaluate derisking options for the portfolio. At this point, we're planning at least $3 billion of capital contributions in 2019 and we'll continuously assess the capital adequacy and risk profile of GE Capital. GE Capital's resources are more limited as it shrinks and GE may need to support GE Capital further, if necessary, either to achieve desired capital levels or to execute strategic options around its portfolio. There was a new insurance accounting standard issued in August of 2018. We're evaluating the effect of the standard and anticipate its adoption will materially affect our financial statements when it takes effect in 2021. Now, I'll turn it back to Larry.
H. Lawrence Culp, Jr. - General Electric Co.: Jamie, thanks. Right now, I'm spending most of my time with the Power business with real help from Jamie and our Vice Chair, David Joyce. We need to establish a realistic outlook there, particularly for the Gas business, and drive improvements from there. The moves we've announced today, in addition to the daily, weekly and monthly operating disciplines we are instilling, will drive transparency and accountability on the path to improved operating performance. When we have our arms around this, we will provide you with our outlook in 2019. As I mentioned earlier, we also intend to maintain a disciplined financial policy and are committed to strengthening and delevering the balance sheet over the next few years. In summary, GE has and will continue to have a strong commitment to all its stakeholders. We are making GE a stronger company operationally and financially. I'm truly excited to lead this storied company into its next chapter. I've spent my career improving strong franchise businesses and taking them from good to great. We know what to do. Now is the time to execute. Before we go to Q&A, I want to acknowledge the pent-up demand for information that you have on a range of topics, but I've been in this job for all of 30 days. I will share with you what I know and can today, but please know that I'll be back to you with more definitive plans and views in the months ahead. In closing, I also want to thank John Flannery for his 30 years of exceptional service to this company. John also made a number of important contributions as CEO. I have the utmost respect for John and wish him nothing but the best going forward. With that, Todd, back to you.
Todd Ernst - General Electric Co.: Thanks, Larry. Brandon, let's open up the call for questions.
Operator: Thank you. And from Vertical Research we have Jeffrey Sprague. Please go ahead.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thank you. Good morning, everyone.
H. Lawrence Culp, Jr. - General Electric Co.: Hey, Jeff. Good morning.
Jamie S. Miller - General Electric Co.: Good morning, Jeff.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Good morning. Larry, best of luck. Hey, my first question, and I think it's everyone's question really, is the balance sheet here. And just wondering as you're sitting there with your fiduciary hat on looking at an unstable, perhaps, global economic environment, certainly relative to what the market's telling us, do you see the need to move more quickly on the balance sheet? Is there something with these lawsuits or something that tie your hands on moving with the balance sheet? Could you just give us a little bit more color on how you might move to more quickly lift the cloud and stabilize things here?
H. Lawrence Culp, Jr. - General Electric Co.: Jeff, let me take that, and then Jamie probably has some perspectives as well. I think we're mindful of the morphing environment, but perhaps more mindful of our leverage situation today. So, coming in as a Director earlier in the year, that was clear. All the more true today as Chairman and CEO. I think what we've tried to do throughout the course of the year is move as briskly but smartly as we possibly can. The dividend move today, to me, fundamentally straightforward, given our desire to preserve that cash to help delever the business. We have a lot of options. We laid these out, I think, in some detail back in June. Certainly, the strategy that we talked about relative to derisking and focusing the portfolio is very much intact today. How we move through those various options, the timing, the pace, the sequencing, something very much on the table to make sure that we tend to the balance sheet as quickly as we can. We don't want to be rushed. We don't want to be rash, but we need to get after this straightaway and I hope today's move on the dividend is evidence of that intent in action.
Jamie S. Miller - General Electric Co.: Yeah, and the only other thing I would add, Jeff, you mentioned lawsuits. There really is no consideration around that in terms of something that would be a constraint to that plan.
Operator: And from JPMorgan, we have Steve Tusa, please go ahead.
H. Lawrence Culp, Jr. - General Electric Co.: Hey, Steve. Good morning.
Charles Stephen Tusa - JPMorgan Securities LLC: Hey. Good morning, Larry. So, I guess as a fresh voice in the room there, you guys kind of addressed the insurance thing, that seems like it's going to be a little bit bigger than expected but there's been a lot of information coming out from these disclosures from the shareholder lawsuits that talks about the accounting for LTSAs and contract assets. Several whistleblowers out there talking about the behavior in the past. I'm wondering, in your seat, if you've really delved into that and you're comfortable enough there to unequivocally rule out the need for more capital and specifically the potential for an equity raise?
H. Lawrence Culp, Jr. - General Electric Co.: Steve, there are a number of questions there. Let me try to take them in order. Let me state in a straightforward fashion, we have no plans for an equity raise. I think with respect to the service business within Power, this is a good opportunity for us to frankly manage this franchise better than we have. I've been encouraged by what I've seen at the operational level. Clearly there are a lot of issues from the past that the team is dealing with but the opportunity here to work closely with our customers around this installed base and do so in a way that's a win-win for them and for us I think it's clear. I'm excited about this. Now it's not a business in the state that it should be in, or could be in, will be in, but I think a good bit of the time we've spent with Russell and Scott and the team has been very much geared toward putting those improvements in motion. I think as we exit this year, go into next year, at the operational level look for continued progress there.
Operator: And from Melius Research, we have Scott Davis. Please go ahead.
Scott Reed Davis - Melius Research LLC: Hey. Good morning, guys.
H. Lawrence Culp, Jr. - General Electric Co.: Hey, Scott. Good morning.
Jamie S. Miller - General Electric Co.: Hi, Scott.
Scott Reed Davis - Melius Research LLC: Welcome, Larry, and good luck to you. It's not going to be an easy job, got a lot to fix. I wish you the best of luck.
H. Lawrence Culp, Jr. - General Electric Co.: Well, I appreciate that Scott.
Scott Reed Davis - Melius Research LLC: Better you than me.
H. Lawrence Culp, Jr. - General Electric Co.: Any time you want to join us, let me know but I'm excited to be here. This is an outstanding company right. The people here I think are strong. The technology again is impressive and in 30 days I've begun to appreciate all the more the reach and the impact this company has around the world. We can do better than where we are today, but this is an important company and I'm pleased to be on the team.
Scott Reed Davis - Melius Research LLC: We're glad to have you. But anyway so, my question really is on the business model at GE, it's so different than Danaher. The two biggest businesses, Power and aircraft engines, the company is willing to sell the unit at a big loss in hopes of capturing the spare parts and that seems to be working in aerospace but doesn't seem to be working in Power. Can you fix Power without fixing how you go to market traditionally? Does something drastically need to change there?
H. Lawrence Culp, Jr. - General Electric Co.: Well, Scott, it's hard to say that we don't need dramatic or drastic change in a business that is performing the way that Power is, right? I mean, in some respects, it's that simple. So, in my mind, beyond compliance and quality, everything is on the table at Power and I think Russell and the team would echo that if they were the call. There's no question that in my prior life I was really on the periphery of both the Power space and aerospace as well. Certainly, in the heart of Healthcare, but I'm of the view that there's a lot that I've done previously that's relevant as I join this team. I've driven a lot of change. Every time we brought a new company in, we were driving a lot of change. That was effectively the value proposition for our investors and I think over time we were able to do that. That change really comes as a function of revisiting assumptions, clarifying strategy, putting the right team together, driving operations day in, day out and clearly deploying capital in and around that business as appropriate. But in a more fundamental level, Scott, it's really about expectations, right? It's about making sure that problems are surfaced and solved and managing in a substantive not superficial way. I think all that's relevant. But to be clear, this isn't about me. This is about the 300,000 people on the payroll, myself included, that want and are committed to having GE in a better place and performing better, both for our customers and for shareholders.
Operator: From Citi, we have Andrew Kaplowitz. Please go ahead.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Good morning, guys
H. Lawrence Culp, Jr. - General Electric Co.: Andrew, good morning.
Jamie S. Miller - General Electric Co.: Hey, Andrew.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Larry or Jamie, obviously, you didn't give us EPS or cash guidance for the year, but industrial free cash flow in Q3 was arguably not as bad as feared. You did say that you would significantly miss your previous cash flow and earnings target for the year. How should we think about GE's ability to generate earnings and especially cash in what seasonally is usually a strong Q4. And then, really more importantly, when we think about next year, are there any guide posts you would give us at this point as you review the businesses, Larry? Should the Power business in particular be less of a drag on cash in 2019?
Jamie S. Miller - General Electric Co.: Yeah. So, let me take the first discussion on that one. So, as you noted, we're not offering updated guidance right now. But as we look at the businesses, we see real strength in Healthcare and in Aviation. And in Power, we just are seeing continued impacts from the lower market penetration I talked about. Deal closure delays and uncertainties and just other operational and project execution issues, and we do see those continuing into 2019. But as we pull back, fourth quarter, as you referenced, has always been a significant volume quarter for GE and we expect this fourth quarter to be the same. Again, with strong volume in units at Aviation, Healthcare, Renewables and at Power, and Power is also back-end loaded historically, which is another reason that as we really look at Power and the visibility we have there, both with respect to the market and the operations, we're positioning our views on that right now the way we are
H. Lawrence Culp, Jr. - General Electric Co.: Andrew, Larry here. I hope that you and others will appreciate that when we talk about numbers on a forward-looking basis, we want to do so with conviction and confidence. I don't want to fool you, let alone myself, in thinking 30 days in that I can give you that today. So, with respect to the quarter and certainly the outlook for next year, there'll be a time and place for that. But make no mistake, we know that the Power business has to perform better and that is what we're going to spend a ton of time on once we get past earnings today.
Operator: Thank you. From Deutsche Bank, we have Nicole DeBlase. Please go ahead
Nicole DeBlase - Deutsche Bank Securities, Inc.: Yeah. Thanks. Good morning, Larry.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, Nicole
Nicole DeBlase - Deutsche Bank Securities, Inc.: So, I guess maybe we could talk a little bit about Power. So, just based on the actions that you're announcing today, is there any sense of the level of savings that those like the headquarter consolidation could actually drive, just to give us a sense of what the baseline of savings could be as we move into 2019?
H. Lawrence Culp, Jr. - General Electric Co.: Nicole, I think what we've done today is really share both internally and publicly the organizational architecture, if you will, that we have in mind. There are a number of details that Russell, the team and I will be working through in the days and weeks to come. And as those details become more clear, we'll share those first internally, and then we will share them with you and others publicly. So give us a little bit of time to work through that. I think in the interim we want to leave that open. But I would just underscore that while there is an opportunity to improve our cost structure, dare I say it, imperative given our current performance, a good bit of what we are talking about here is also geared toward running the businesses better. I think by consolidating the headquarters and really putting that support around the Gas business, we'll all have a better line of sight on the action day-to-day in that business and be able to make decisions I think more crisply with more transparency and more accountability. Having the rest of that Power portfolio coming in directly as well through a different path will give us an opportunity to see those P&Ls clearly without any noise and work business by business to drive improvements there. And I think that's a better way for us to operate. We can come together and do things together that make sense, but we're going to make sure that we're maximizing and optimizing those individual businesses first.
Operator: From Barclays, we have Julian Mitchell. Please go ahead.
Julian Mitchell - Barclays Capital, Inc.: Hi. Good morning.
Jamie S. Miller - General Electric Co.: Good morning, Julian
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, Julian.
Julian Mitchell - Barclays Capital, Inc.: Good morning. Maybe my question would be around GE Capital. Jamie, you had talked about more work to be done looking at the liabilities relating to tax, WMC, insurance and so on. Obviously that will set alarm bells ringing given the scale of miscalculations at things like insurance and so forth. So maybe just give us an update on how sizable you think some of these liabilities might be? Is there a risk that they do end up similar to the scale of the insurance adjustment earlier in the year? And also related to that, maybe I missed it, but I didn't see any reiteration of the $25 billion capital asset sale plan by the end of 2019, so I just wondered if you have an update on the pace of those asset exits at Capital?
Jamie S. Miller - General Electric Co.: Sure. So with respect to the first piece, at this point we see at least $3 billion of capital contributions into GE Capital, as I mentioned. We continue to shrink GE Capital, and we still are on our plan for $25 billion of asset reductions. To date we've seen asset reductions via sale of about $7 billion. You saw $11 billion down on the balance sheet. A lot of that is just seasonal timing and some other shifting. And we do expect to see another big tranche be sold in the fourth quarter, so well on track there. And then with respect to the other elements we're monitoring, it's a little bit of a moving target. We monitor tax reform. We've got some interpretations we expect to either be cleared up or sent out in the fourth quarter. That could cause some tax adjustments in the fourth quarter for GE Capital. WMC is something we continue to monitor, and then our annual fourth quarter insurance evaluation as well. With respect to that, we just reset that last year, as you mentioned. And interest rates are up more than planned, which is helpful, but it's a process we go through. And it's something we're monitoring. And I'd say when I look out in 2019, 2020 and beyond, GE Capital's resources are just more limited as it shrinks, so GE may need to support GE Capital further if necessary. And when we think about either achieving desired capital levels, derisking debt maturities, those are the kinds of things we're thinking about. But right now as we look at 2019, we see the three things I mentioned as the monitoring point.
H. Lawrence Culp, Jr. - General Electric Co.: Thanks, Julian.
Operator: From Wolfe Research, we have Nigel Coe. Please go ahead.
Nigel Coe - Wolfe Research LLC: Thanks. Good morning, guys.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, Nigel.
Nigel Coe - Wolfe Research LLC: Hey, Larry. So you mentioned obviously the portfolio plan laid out in June remains the base case, and that profile plan's key levers in delevering and derisking balance sheet. Can you just give us an update on the timing on the moving pieces for Baker Hughes and GE Healthcare? That's the first part of my question. And the second part would be, you've obviously spent most of your time so far with Power. Obviously, Power results this quarter were less than – obviously, well below what we expected. Can you maybe just quantify what those onetime items were hitting the P&L this quarter? And how you see the path of cost reduction in Power progressing? Thank you.
H. Lawrence Culp, Jr. - General Electric Co.: Sure. Sure. Nigel, I would say with respect to the strategy, again, what we're reinforcing today is the strategic framework that we highlighted in June with respect to derisking and delevering the balance sheet and really setting the businesses up to win and, in some cases, businesses in an independent form. You mentioned Healthcare. We talked about that back in the summertime. Today, I don't think we really have much to say relative to Baker Hughes. They've got their earnings call here shortly. I think what we can say is that our intent, as expressed in June, holds and that you should expect us, in an orderly fashion over several years, to implement that objective. I think with respect to Healthcare, we're still of the view that Healthcare operating in an independent form is probably what is best for that business and that team. Might the timing and sequencing there change relative to some other things that we're working on, too early to tell, but it's certainly something that Kieran [Murphy] and I have been talking about.
Jamie S. Miller - General Electric Co.: Yeah, and I'll jump in here on Power, you asked about the negative Op profit in the quarter and some of the different charges. So I talked through earlier the goodwill and the Power Conversion intangibles. Focusing on Power operations, in the quarter, we had $240 million of charges on the blade issue with respect to warranty and maintenance reserves. We saw about $400 million of project reserves and other execution issues and about $150 million of just some other execution issues. We saw lower volume in the quarter and if you really put that back together, Power probably came in about as expected operationally, with the exception of these charges that are incrementally flowing through.
Operator: From RBC Capital Markets, we have Deane Dray. Please go ahead.
Deane Dray - RBC Capital Markets LLC: Thank you. Good morning, everyone.
H. Lawrence Culp, Jr. - General Electric Co.: Hey, Deane. Good morning.
Jamie S. Miller - General Electric Co.: Morning, Deane.
Deane Dray - RBC Capital Markets LLC: Covered a lot of territory so far and maybe some broad brush questions for you, Larry. First would be, what do you think are the – 30 days in, the biggest misperceptions that people on the outside have right now about GE? And then related is, you're coming in from the outside and you're basically on unfamiliar ground. You're surrounded by senior managers who didn't grow up with DBS, don't know the playbook. How are you set with building out your team, basically your inner circle of advisers?
H. Lawrence Culp, Jr. - General Electric Co.: Sure. Well, let me take those in order. The biggest misperceptions, Deane, there are a lot of people around GE that know the company far better than I do, right. In this role for 30 days, on the board for less than a year, I won't claim any special expertise but, again, I think as you get into the business, I have been truly impressed with the talented people I've met really around the world. This team's been through a lot the last several years. The company perhaps doesn't enjoy the reputation in certain quarters that it once did. But people here are committed to embracing that reality and changing it. And I take a lot of comfort and strength from that. Frankly, I'm not sure when my board colleagues came to me, that I would've stepped into this role hadn't I been out on the road over the course of the summer. Visiting our business and our team in China, getting the opportunity to walk a couple of plants in Power, getting out with David Joyce and the Aviation team and really seeing the strengths of GE that go a bit perhaps underappreciated today. And I don't want that to sound like I'm sugar-coating our reality. This is not a quarter that we're particularly proud of, but, that said, Aviation knocked the cover off the ball and Healthcare wasn't too far behind, Transportation in a good place. We really like what we're going to do strategically there with the merger. So there are good things going on here. That doesn't necessarily take away from today's headlines, but there are things we can do to build on, this team, these assets, these strengths and that's what we're going to do. With respect to the team, Deane, you and I both know, we share a passion for the local ballclub here. Alex Cora just won a World Series, as best I can tell, largely with the team that was on the field a year ago that didn't do so well. So I am listening to a lot of people here in these first weeks. That will continue, listening, learning. But again, I feel good about the group that we have here and we're committed to building a stronger General Electric.
Operator: From Bank of America Merrill Lynch we have Andrew Obin. Please go ahead.
Andrew Burris Obin - Bank of America Merrill Lynch: Yes. Good morning. We've been getting a lot of question on GE Capital, particularly the aircraft leasing business. Can you just walk us through what you guys are seeing in terms of book value of the assets? And just a broader question, as you look at GE Capital and as you sort of make a statement about no capital raise, does that mean that you feel that GE Capital – you are comfortable with where GE Capital values are or are you saying that, look, I'm only in for 30 days and it's going to take us a while to get through those? So just two-part question. Thank you.
Jamie S. Miller - General Electric Co.: Yes. Andrew, on GECAS, I would say with respect to asset values there, we're not seeing anything unusual come through. We can work with you through more offline to give you more specifics if there are specific questions on that. And then with respect to the discussion about an equity raise, I'm not sure I have anything more to add to what Larry said before.
H. Lawrence Culp, Jr. - General Electric Co.: I don't have much to add either.
Operator: Okay. From UBS, we have Steve Winoker. Please go ahead.
Steven Winoker - UBS Securities LLC: Thanks. Good morning, all.
Jamie S. Miller - General Electric Co.: Good morning, Steve.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, Steve.
Steven Winoker - UBS Securities LLC: Larry, if I think back to when Dave Cote took over Honeywell and Ed Breen took over Tyco in similarly difficult times and you've got Capital, the thing that's striking the most to me is at least these expanded investigations that came out today and the ongoing question about faith in the numbers that you've got to base your decisions on. So just trying to get a sense for what is giving – where are you in kind of your continuum of getting confidence into the underlying numbers that are at the core of basing the rest of the decisions on? And just before I go, if you can also just address Healthcare. You're saying it's very strong. Just seemed a little flat in terms of the growth up 3%. The rest of the segment peers seem to be doing a little bit better, a little confidence there, too, would be helpful. Thanks.
H. Lawrence Culp, Jr. - General Electric Co.: Yes. Steve, I would say with respect to my discovery work here and beginning to kick things into gear, it's early, but where I'm focused primarily is what we can change going forward in terms of the trajectory and the underlying performance. I think part of what we need to do at Power is wring out a little bit of the undue optimism that I think we referenced in our prepared remarks so that we can establish a baseline that we can build on, a baseline, frankly, for our own internal processes, let alone when we're talking about the business on the outside. In that regard, again, it's early, but I have conviction that there are things to build upon, there are improvements that are well within our reach and we just need to do that. And that's – again, it's not going to happen overnight. It's going to take some time, but I'm hopeful that we can build that credibility, deliver that performance over time.
Jamie S. Miller - General Electric Co.: Hey, Steve. And just a quick comment on Healthcare, as you asked about. Healthcare revenues were up 3% on an organic basis. We saw segment profit up 10%, a consistent basis. And when you really peel back the layers, we're seeing very consistent growth across the different regions, as well as in the product line. U.S. was down a bit this quarter. We expected to have tough comps again in the fourth quarter, but largely driven to big orders we had last year from the VA in the U.S. China strength continues. And what the business is really doing well is getting a really nice mix of growth in the market coupled with strong cost control and a real steady focus on how they're investing in R&D, so nice profile
H. Lawrence Culp, Jr. - General Electric Co.: And Steve, just to be clear, I think we're well aware that Aviation really was the standout force in the third quarter of this year. My comments about the strength of the Healthcare business were not rooted into the last 90 days but really looking at that business on a prospective basis. I think it's an outstanding business there, well positioned in a number of attractive submarkets, and we intend to grow that going forward.
Operator: From Credit Suisse, we have John Walsh. Please go ahead.
John Walsh - Credit Suisse: Hi. Good morning.
Jamie S. Miller - General Electric Co.: Good morning, John.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, John.
John Walsh - Credit Suisse: Hi. So I wanted to actually talk about Aviation because that was clearly a source of strength in the quarter, and you reiterated your view of 15% plus on the OP line there. So that does imply sequentially that the margins are lighter. Obviously there is the LEAP ramp, or there's higher LEAP in Q4. But as we think about that longer term because it will be a big driver of the future GE, do you still believe the construct of holding the margins while you ramp LEAP is the right way to think about that business? Or has anything changed there?
Jamie S. Miller - General Electric Co.: Yeah. I'll give a little bit of context on the quarter, the year and just a macro level. In the quarter, we just continue to see real underlying strength in the business. Global passenger travel up 6.8% year-to-date, passenger load factors at all-time high, which just means our engines are just flying more, which means we bill more hours under services contracts, we consume more parts as they go in for maintenance. We are seeing negative mix as the LEAP volume ramps. This has been partially offset by nice improvement in LEAP product cost and at services, like I mentioned, just a very strong spares rate and just strong spare part consumption on our T&M contracts. Peeling back and looking forward, we do see CFM coming down, but it's more than offset by military being stronger, the LEAP cost curve really coming down over the next few years and the services strength continuing. We expect to see continued healthy growth there, particularly as CFM continues to work its way through the services cycle. So backlog, strong revenue growth, air miles, strong services growth, and LEAP coming down the cost curve is probably the way to think about it.
John Walsh - Credit Suisse: Thank you.
Operator: From Goldman Sachs, we have Joe Ritchie. Please go ahead.
Joe Ritchie - Goldman Sachs & Co. LLC: Thanks. Good morning, everyone.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning, Joe.
Jamie S. Miller - General Electric Co.: Hi, Joe.
Joe Ritchie - Goldman Sachs & Co. LLC: So just a couple quick clarifications. Jamie, on the net leverage target, I didn't see you guys explicitly call out 2020, but you did mention in the next few years. Has that 2.5 times changed at all from a timing perspective? And then the second question, in just thinking about the comments around GE needing to support Capital beyond the $3 billion in capital infusion in 2019, is the new insurance policy going to make you revisit the $15 billion capital outlay over the next few years?
Jamie S. Miller - General Electric Co.: So with respect to the first question on the net debt to EBITDA, we intend to reach net debt to EBITDA of 2.5 times. We plan to achieve that over time with substantial progress through 2020. That's really how we're thinking about that right now. With respect to the – and I assume you're talking about the insurance accounting standard – that is something that, as I said, we expect will have a material impact on the financial statements. Not effective until 2021. It requires more granularity around loss testing. It changes the discount rate assumptions. And we'll evaluate that over the next couple of years, but it does not impact the statutory reserve accounting. And that is really what drives the capital funding requirements for insurance.
Operator: From Gordon Haskett, we have John Inch. Please go ahead.
John G. Inch - Gordon Haskett Research Advisors: Thank you. Morning, everybody.
H. Lawrence Culp, Jr. - General Electric Co.: Hey, John. Good morning.
Jamie S. Miller - General Electric Co.: Hey, John.
John G. Inch - Gordon Haskett Research Advisors: Hi, guys. Jamie, what was the Capital stranded debt at the end of the third quarter? And as a follow-up, what would you say is the actual free cash of the businesses that we've committed to selling to try to discern what could be some sort of a normalized cash rate, say once working capital and restructuring balance? So I guess there's rail, ambulance, Distributed Power, Industrial Solutions. Is there any way to put that into a context?
Jamie S. Miller - General Electric Co.: Yes. We've said before that the free cash flow of the businesses that we're selling is a little over $1 billion, about $1.2 billion in free cash flow. So that's some sizing there. And with respect to excess debt, pay-downs in 2018 will be $7 billion; 2019, we expect that to be about $9 billion and then we've got long-term debt maturities in 2020 in GE Capital of $16 billion and it's really a question there of issuances that might offset that. So that might give you a little bit of sizing there.
Operator: From Cowen and Company, we have Gautam Khanna. Please go ahead.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning.
Operator: Gautam, your line is open.
H. Lawrence Culp, Jr. - General Electric Co.: Gautam?
Operator: We'll take the next question from Oppenheimer. We have Christopher Glynn. Please go ahead.
Christopher Glynn - Oppenheimer & Co., Inc.: Yes. Thanks. Good morning.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning.
Jamie S. Miller - General Electric Co.: Good morning.
Christopher Glynn - Oppenheimer & Co., Inc.: Yes. Just wondering as you look at GE Capital overall and the GECAS asset, curious if you see net positive value of the GE Capital balance sheet and earnings power here and if we should think of potentially selling GECAS as a silver bullet to shore up what might come with the accounting standard change in insurance and if you will not wait until 2021 to answer that rather than leave it as an overhang?
Jamie S. Miller - General Electric Co.: GECAS is a really strong business. Over the years, it's, I think, demonstrated its strength in terms of its risk and its underwriting and how it performs with low loss ratios over time. We think it's really advantaged because of its knowledge of the underlying assets. And due to that, we receive inbounds on this business all the time. We think it's a valuable franchise. We have not made any decisions or have plans right now to do anything with GECAS, but certainly that's something, as we think about the timing and pace of execution on our overall plan, that is something we could think about.
Operator: And our last question comes from Justin Bergner with Gabelli and Company. Please go ahead.
Justin Laurence Bergner - Gabelli Funds LLC: Good morning, everyone.
Jamie S. Miller - General Electric Co.: Good morning.
H. Lawrence Culp, Jr. - General Electric Co.: Good morning.
Justin Laurence Bergner - Gabelli Funds LLC: Are there other plans on the asset sale side within Industrial? There have been some sort of news reports about potential asset sales beyond the ones already announced.
Jamie S. Miller - General Electric Co.: We've got our $20 billion disposition plan in motion. We've executed a number of those already this year. Distributed Power, as I mentioned, is on track to be sold in the fourth quarter. Transportation's on track for the first quarter. We do have a few Aviation businesses and Current and Lighting that we're still well underway in those processes. So those will likely come through as well. Beyond that, I think it really gets back to Larry's comments on Baker Hughes and Healthcare and a planned, orderly separation over time with Baker Hughes and over time, a separation of Healthcare as well.
Operator: Thank you. We will now turn it back to Todd Ernst for closing remarks.
Todd Ernst - General Electric Co.: Okay. Thanks, Brandon. Thanks, everyone, for joining us today. The replay of today's call will be available this afternoon on our investor website. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect. Speakers, please stand by for your post conference.